Operator: Good day and welcome to the EMCORE First Quarter 2022 Earnings Call. Today's conference is being recorded and at this time I would like to turn the call over to Mr. Tom Minichiello, Chief Financial Officer, please go ahead, sir.
Tom Minichiello: Thank you. And good afternoon, everyone. And welcome to our conference call to discuss EMCORE's Fiscal 2022 First Quarter Results. The news release we issued this afternoon is posted on our website, EMCORE.com. On this call, Jeff Rittichier, EMCORE's President and Chief Executive Officer, will begin with the discussion of our business highlights, I will then update you on our financial results and we'll conclude by taking questions, before we begin, we would like to remind you that the information provided herein may include forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Exchange Act of 1934.  These forward-looking statements are largely based on our current expectations and projections about future events and trends affecting the business. Such forward-looking statements include in particular, projections about future results, statements about plans, strategies, business prospects, and changes and trends in the business and the markets in which we operate. Management cautions that these forward-looking statements relate to future events or future financial performance and are subject to business, economic, and other risks and uncertainties, both known and unknown that may cause actual results, levels of activity, performance, or achievements of the business, or in our industry to be materially different from those expressed or implied by any forward-looking statements. We caution you not to rely on these statements and to also consider the risks and uncertainties associated with these statements and the business which are included in the company's filings available on the SEC's website located at sec.gov, including the sections entitled Risk Factors in the company's annual report on Form 10-K.  The company assumes no obligation to update any forward-looking statements to conform such statements to actual results or to changes in our expectations, except as required by applicable law or regulation. In addition, references will be made during this call to non-GAAP financial measures, which we believe provide meaningful supplemental information to both management and investors. The non-GAAP measures reflect the Company's core ongoing operating performance, and facilitates comparisons across reporting periods. Investors are encouraged to review these non-GAAP measures, as well as the explanation and reconciliation of these measures to the most comparable GAAP measures included in our news release. With that, I'll now turn the call over to Jeff.
Jeff Rittichier: Thank you Tom, and good morning. Well actually, good afternoon everyone. First of all, I would like to offer up quick apology for my cough half dozen test safe, not COVID and enough other tests have been run that we know it's not anything serious, but nevertheless, it could be doing so I apologize for any loss of clarity here. EMCORE first quarter revenue was down about 4% from Q4 coming in at 42.2 million non-GAAP earnings were 5.3 million and adjusted EBITDA was 6.3 million. Semiconductor price increases and supply chain shortages of affected our gross margin, bringing it down to 38% from 39. EMCORE continued to perform well financially, despite unpredictable supply chain headwinds and increased component costs. Semiconductor availability was generally adequate during the quarter, but prices we're definitely up across the board.  The same sort of unpredictable logistics challenges we saw in Q4 remained with us in Q1 causing pushouts in material. We expect to see these problems persist going forward. And don't see a catalyst to drive predictability into the supply chain and short-term, we are temporarily moving to increase safety stock levels. But given the lumpy flow material, this move isn't a perfect hedge for the situation. On the Cable TV side, I would point out that even though we're no longer producing Cable TV transmitters in China, we're paying close attention to semiconductor inventories and expect few problems in the current quarter. The shutdown of transmitter built in China and the final transfer to Thailand was completed in the December quarter. As we previously pointed out, CATV inventory levels have already made a drop downward. New laser module starts in China were concluded before Chinese New Year. As planned, the remaining material and the line will flow through within two weeks or so. And then the laser module manufacturing tools will move to Thailand as well. From that point, a much smaller group of Chinese personnel will remain focused on CATV production support, and manufacturing engineering. With this transition complete, we will sell all of the CBA -- CATV production assets and inventory. And we'll be buying product from our EMS supplier to fixed price.  Turning to individual business areas. Cable TV continued to drive performance in the Broadband unit in Q1. Beyond Cable TV, the Broadband business received two more chip development contracts with their own and NRE funding, bringing the total to five such contracts. We have additional business developments underway and expect to continue to expand this business. As we stated last quarter, the first and possibly the second of these new chip products are expected to start shipping in Fiscal Q3 and Q4 of FY ’22. And are expected to contribute tens of millions in revenue by 2025.  These development programs are an important business for EMCORE because they will help drive consistent fab utilization despite CATV‘s cyclical nature, and will result in strong gross margins in the Broadband business. Aerospace and Defence declined again, primarily due to continued supply chain delays with the new EMS provider in our Defence Optoelectronics business. FOG was up about 20% quarter-over-quarter with QMEMS down primarily due to bottlenecks with test equipment near the holidays. Yields did improve but we were a bit back-end loaded and just couldn't get everything through testing that we wanted to. We're expecting to QMEMS mixed issue to ease up over the next quarter or two. On the business development side of Aerospace and Defence, COVID outbreaks made it a bit difficult to keep testing and qualification on schedule for new programs.  Omicron hit hard and fast, derailing our customers plans. And some flight testing going forward, we're already starting to see the situation ease up and expect it to normalize by early spring. Multiple negotiations with international defense contractors have continued with target volumes ranging for one 4K units per year. Most of these higher volume products will be used in precision guided munitions. We fully expect these applications will be the primary growth drivers for EMCORE has A&D. Business within the next two years with incremental revenue in excess of $30 million. The FDC 500 is also going -- undergoing qualification testing for several domestic and international programs with a serviceable market of 1 to 2000 units per year. Taken together, these results demonstrate the growing momentum for our QMEMS navigation products, and future growth beginning this year. Our FOG products are also gaining traction -- We completed the first phase of-production for our new airborne pod were awarded the final pre -production phase, I think in December, which we expect to complete within calendar year 22, low level production of for this program is expected to begin in 23, fiscal 23, and the total value for the program estimates are unchanged about $70 million over seven years. The newly ruggedized EM300th IMU is being bedded by more than ten prime and laboratories in the U.S. and abroad, approximately doubling the size of its originally intended application space.  Although we're disappointed the COVID threw a wrench into our business development efforts, in defense we already see time -- signs of this as temporary. Over the next several quarters, we expect to make several important announcements about the growth of our navigation business. Now, I'll move onto guidance for the second fiscal quarter. As we've stated before, CATV visibility is at its worst in the March quarter, especially early in the March quarter, with capital budgets just being released and winter weather interfering with installations. Nevertheless, we've conducted extensive customer and channel checks to try to understand FY ’22 demand to us, and determine the true amount of inventory in the channel. It's clear to us that a substantial amount of transmitter inventory is tied up in the channel, probably due to competitive positioning between our customer at one MSO.  From what we can gather today. We should expect this to clear out by around the end of the calendar year. I would remind everyone that Cable TV is notoriously cyclical, and the CATV boom that was driven by COVID lasted nearly two years, now requiring an inventory correction. Taking all of this into consideration with some of the supply chain challenges we're seeing; we currently expect revenue for the March quarter to be in the range of $32 to $34 million. With that, I will turn the call back over to Tom.
Tom Minichiello: Thank you, Jeff. As may have as you may have seen in our news release that we issued this afternoon, we delivered another strong quarter in fiscal 1Q. Consolidated revenue was 42.2 million of which 32.3 million came from the Broadband business segment, and 9.9 from Aerospace and Defence. Broadband revenue increased slightly, slightly when compared to the fourth fiscal quarter of 2021. Cable TV products performed at a high level again this quarter, representing 88% of total Broadband segment revenue. In addition, chip-level sensing products were sequentially higher in the December quarter.  Aerospace and Defence segment revenue decreased when compared to the $11.7 million in the prior quarter, as was the case in the September quarter, the sequential A&D revenue change in the December quarter was attributable to our Quartz MEMS product line, primarily due to a mix shift to equip a product with lower production yields and Defense Optoelectronics products primarily due to supply chain disruptions. Partially offsetting these changes was higher FOG revenue driven by an increase in orders for our single access gyro. Let me now turn to the rest of the operating results. The focus of which will be on a non-GAAP basis. Consolidated gross margin was 38% in fiscal 1Q compared to 39% the quarter before broadband's gross margin. Still very strong at 44% was slightly lower on a sequential quarter basis due to a variety of small changes in material costs, mix and overhead cost absorption.  While there was no change in the A&D gross margin on a sequential basis, the 18% this quarter was primarily due to rip through the revenue decrease and the lower-than-normal production yields at our Concord operation. On a trailing 12-month basis, Broadband in A&D gross margins were 45 and 25% respectively. Operating expenses were $10.6 million in Fiscal 1Q, compared to $10.5 million in the prior quarter. G&A expenses were up due to higher professional services fees, and a few other one-time items. This was partly offset by decreased R&D due to lower project material expenses. OpEx as a percent of revenue was well below the 30% mark for the quarter, coming in at 25% of revenue. Moving to the bottom line, operating profit was very strong again in the December quarter at 5.3 million, for an operating margin of 13%. Adjusted EBITDA at $6.3 million was 15% of revenue. Net Income and EPS was $5.314 million per diluted share. Shifting to the GAAP results for a moment, fiscal 1Q net income and EPS was $2.46 million per diluted share, this included a $1.3 million charge for severance costs associated with the planned shutdown on the manufacturing operations in China. Turning to the balance sheet, we had $76 million at December 31st compared to $71.7 million at September 30th, the quarterly cash increase of $4.3 million consisted of $6.2 million of operating cash flow, less $1.9 million used for CapEx. On a trailing 12-month basis and pour has generated $16 million in cash from operations. And with that, we are now opening up the call for your questions.
Operator: Thank you. If you'd like to ask a question,  And we will go first to Jason Schmidt of Lake Street Capital Markets.
Jason Schmidt : Hi, guys. Thanks for taking my questions. Just wanted to start with guidance. And Amy, and first of all, it seems like some of the softness here in March, that's entirely related to demand and less on the supply side, is that correct? And then I guess relatedly, if it's not how much of -- can you quantify the supply chain impact do you expect here in March?
Jeff Rittichier : Yes. The supply chain problems will largely be over in AMD and could contribute, call it a couple of million dollars, two, three. The primary point that you made about demand? Yes, it is Cable TV transmitters, again, probably geared for one MSO.
Jason Schmidt : Okay. Understood. And then just sticking with guidance, based on previous comments about that cable order book continuing to extend throughout calendar 22, now obviously, appears like there were some double ordering going on. How confident are you that this issues can actually be worked through in the relatively near-term?
Jeff Rittichier : Well, great question. The order book is continuing to move forward on laser modules, which are sort of which are used by one customer that goes to another one of the largest MSOs in the world. So that part we feel pretty good about because there were orders that go out over a quarter and that's strong comparatively. When you look at -- call it the probability that everything on the transmitter side will clear out by the end of the calendar year. Of course, we have to -- we're not a 100% confident in that because our calculations are based on customer forecasts. And we've gone in and seen some movement in terms of where their inventories going, that gives us confidence that we're going to see the transmitter bubble get cleared out by the end of the year, but it ain't over till it's over. Right?  I mean it's -- forecasts change. And again, I guess there's no more share to take, we've taken it all, look at AOI's margins. We've not lost a deal to anyone that we shouldn't have lost the deal to, in terms of competitors. And so there's no more share to take, right? Our options are limited, but that's the nature of cable. And for us, it's about getting our manufacturing operations to fixed expense, which is where we're at so that margins aren't hit very much as we ride this thing out.
Jason Schmidt : Okay. No, that's helpful. And then just last question for me and I'll jump back into queue and enter guarded some margins. How should we think about gross margin trending here, I guess in the March quarter and then maybe as we progress throughout fiscal 22?
Tom Minichiello : Jason, Tom here, how are you? The way to think about it so you can start with A&D. The last couple of quarters, we've been at 18% and certainly that's not indicative of the normal gross margin for that business we've had a mix to a different product that has caused us to take a little bit of a setback on yields because we were making really good progress throughout most of last year. It's improving, it's going to take another quarter or two, like Jeff said, to get that back up, but we also have to move the top line up. So 18%, I don't think we're going to see that in the next quarter and after but we should be making our way back into, let's call it the mid-20s. And on the Broadband side, with the challenges ahead. The Cable TV P&L within Broadband is going to stay strong because we'll be pretty much at variable cost model at almost a 100% towards the end of this quarter.  And so -- and the transmitters are already there. So -- but we will have a fab, absorption situation that we've enjoyed, very good the last four or five quarters. And that's likely to be not as good so we don't look for that margin to that debt to affect the Broadband margin. So overall, to repeat 38% again, in this quarter is not likely couple of points below that is more in the range.
Jeff Rittichier : Yeah, the other thing to note, Jason, is that the NRE that comes in with these development programs, chip development programs does get spent in the past which is helpful. So within reason, of course, our ability to bring those in does help but with Q3 and Q4, and that's our fiscal starting to see shipments of components. The first two of the 5 programs, we think the situation resolve itself certainly as we're exiting the year in terms of any fab absorption, seeing that depressed a little bit for a while.
Jason Schmidt : Thanks a lot, guys appreciate the color.
Operator: And we'll go next to Sam Peterman of Craig Hallum Capital Group.
Sam Peterman : Hi guys, thanks for taking my question. I guess a couple from me. I wanted to start first on Cable TV. I don't want to beat a dead horse here, but I want to just try to understand maybe how we should be modeling seasonality throughout the year. I know March can be a tough quarter, and it looks like it's going to be. Do you have any visibility into the low point? Should we model normal seasonality? Or is it kind of hard to say at this point just with the inventory dynamics you've described?
Jeff Rittichier : I think it's a little hard to say. It's a little hard to say. And the reason is we're looking at this as a three quarter problem. Whether or not it determines where the low point is, and we don't have an answer to that. What I would say if we had to go and make a staff. Tom, remainder of the year, keep it roughly where the results are the guidance is for the March quarter. Yeah, I think that's right. I think in the absence of any other way to look at it, I think that's a good way to think about it, Sam.
Sam Peterman : Fair enough. That's helpful, guys. Second, I want to go back to the gross margins, specifically the A&D gross margin. I know last quarter was in the teens and kind of thought that'd be a one or two quarter phenomenon and some automated test equivalent, I think was coming in that you thought would help and so, I think I just want to get a little more color on that equipment not coming yet. Do you have visibility to that mix? The 30 unit you --
Jeff Rittichier : Yes.
Sam Peterman : -- get kind of resolving and just if you walk through a little bit more specifically, the A&D gross margin, that'd be great.
Jeff Rittichier : Yes. So when a lot of folks think about gross margin, they think about ASP declines. They think about component costs causing issues. But in our case, more than anything, it's overhead absorption that's driving the gross margins. It could affect us a bit in terms of some of the scrap that we see in Quartz MEMS but that's generally not the major driving factor. Okay? So in the December quarter. We had largely beaten back some of the yield issues. The good news is we did it in October. The bad news is that some of the products take three months from that point to get all the way through the system. And so these vibration tests which occur in the -- at the very tail end of the process, we just didn't have the capacity to get everything through.  Alhambra now has its vibration table setup, hasn't quite been commissioned yet within the next week or two at will. And the upgrades in Concord, which will provide additional capacity. Those are expected to be installed within the next month. And again, this is the environment where COVID induced friction really screws things up. Those shaker tables with these really expensive hydrostatic bearings sat in the Port of Long Beach for almost a month, they could not be unloaded. And then when we were ready to go get them installed, there's nobody down at building and safety to issue the permits, and you deal with all this stuff, right? But the point is that this constant friction of everybody slowing down hurts you in ways that you don't necessarily expect at the beginning of a project.  So, the good news is that these issues are being beat back. The bad news is, is that there is somewhat unpredictable in nature. Shaker tables come in from BNK over Europe. And there's just no way around it. Did that answer your question, Sam or is there a specific place you want me to provide some more color?
Sam Peterman : No, I think that's really helpful. That's great color I think we'll just help investors get a sense of the puts and takes there. So thanks for that. And then, I did want to ask on Broadband gross margins a little bit, just looking at this quarter. Let's say it came down almost a little bit more than 300 basis points which last quarter is very, very high and it's still very profitable for the segment as a whole in Broadband but I'm curious if you're seeing both lower volumes and I guess kind of a mix shift to maybe more of these modules versus the transmitter. What kind of effect does that have on the progress Broadband gross margin? And should we still expect that to hang around and kind of the low to mid-40s, it's been the last couple of quarters or is that maybe a little optimistic given? Just the product mix outlook.
Tom Minichiello : Sam, this is Tom. Similar to what I just answered to Jason on his similar question. As you know, we've been talking a lot about our outsourcing for our Cable TV products. So we're at the end of being a 100% in outsourcing by the middle of this quarter, the transmitters are already there. So what that means is that the Cable TV gross margin within Broadband will remain at a very healthy clip -- call it around the 40% plus or minus, given the mix. And we've had good mixes lately that have had it going even a lot higher than that.  But the other thing that's in the segment is the wafer fab, which like I was telling Jason, that is something that we've been absorbing and in some cases over absorbing over the last, call it the last year. And so that situation, if it changes and it likely to change at least for the March quarter, and potentially the second -- the third fiscal quarter, second calendar quarter of June will cause the Broadband margin to be lower than what the Cable TV gross margins are. So you're likely to see something lower than where we've been. How much lower will depend on. Always dependent on mix. But it will be more dependent on fab absorption.
Jeff Rittichier : So again, just to amplify this point because it is important. The historical -- let's call it the structural issue with Cable TV at EMCORE was that on the assembly side we owned all of our own assets and inventory, and so operating leverage was great on the way up, but it always worked against you on the way down. Well that problem is now solved, okay? On the wafer fab, you have the same issue, right? Because you have a large fixed asset that it's margins depend on the amount of utilization. And so for the past two years we have been working with a group of very important customers to bring far from commodity actually, custom, high-margin chips into our fab.  And the first two of those are expected to ship -- two model numbers of those are expected to ship in the June and September quarter. So as those pick up, the Cable TV absorption in the fab also goes away. It would've been great if the bubble would have given us another quarter or two, you may not have even noticed it, but it is what it is. Does that make sense, Sam?
Sam Peterman : Yes. That makes sense. Thanks for clarifying that one from me, guys. I'll ask one last quick one here on the chip contract you mentioned, I think last quarter you had three and that you expected to more to close and it sounds like those today close this quarter. I guess my question is, are those additional two engagements, are those the same or different customers from the customers behind the initial three chip contracts?
Jeff Rittichier : Those are different customers
Sam Peterman : I know those also in the same Telecom Datacom space. All right, thanks guys.
Jeff Rittichier : You're welcome.
Operator: And as a reminder, you may press star one on your telephone keypad. If you do have a question at this time, we'll go next to Tim Savageaux of Northland Capital Markets.
Tim Savageaux : Hi. Good afternoon.
Jeff Rittichier : Hey Tim.
Tim Savageaux : Hey, good to -- starting a little bit later here. Although better news early in the morning, I guess so.
Jeff Rittichier : Yeah. Maybe that was the key and we just blew it.
Tim Savageaux : So I want to follow up on that last discussion there. And so I wonder if you could be more specific as the two new guys, are they both telecom, one each, or how does that look? And can you estimate now that you've got five of these guys in-house the aggregate amount of NRE that you're associated with this on a run rate basis or however you want to do it. And it sounds like to the extent that you've got what, a $10 million hole here for cable short-term. As you begin to ramp these two initial contracts, are they of such magnitude that they could fill a substantial portion of that whole? Is that what you meant to suggest when you said might not have even noticed it given different timing?
Jeff Rittichier : No. But it's important point to make. So the overhead absorption for cheap product would be highly selective toward the wafer fab, right, which gets rolled up into Broadband. So my point was that as these chip products roll out and start to hit production, what you'll see is the Broadband margin. And it will tend to push it up. I know the total value of the contracts, but I don't know where we are as far as how much we've spent. So as far as estimating the run rate and duration, I don't have that in front of me. But if we said --it was going to be a hundreds of thousands of dollars a quarter, a few $100 thousand, that would probably be right. It's mostly to pay for lots of wafers running through the design efforts are pretty much completed.
Tim Savageaux : Great. And so I guess you were -- you saying you might not have noticed the fabs under absorption dynamic?
Jeff Rittichier: Yes, that was what I meant.
Tim Savageaux : With the difference in timing.
Jeff Rittichier : Yes. So when you talk about the size of those contracts Tim, I don't think they generate that kind of revenue for a year or two.
Tim Savageaux : Got it.
Jeff Rittichier : Then others drop in come in as well.
Tim Savageaux : Right. So those two initial and then you got your following.
Jeff Rittichier : Yes.
Tim Savageaux : All right. So it's and I don't know if you mean -- meant to imply in response to another question. I realize there's some uncertainty as to when and where cable bottoms. But when you were talking about kind of a flattish outlook for the balance of the year, was that a comment about the company in general or Broadband or Cable TV in particular? And as you look at either this quarter's guide or that outlook, are there any offsets built in to that thinking relative to the cable weakness from aerospace and defense improving, or release some of these early chip shipments?
Tom Minichiello : I think Tim, Tom hear more near-term next quarter or two, it's more overall. We're going to face a couple of challenging quarters here on the Broadband / Cable TV side until call it the back half of the calendar year and more towards the end of the calendar year. The chip business kicking in can obviously helped that a lot. But for the next few quarters, think of it as a little bit more of a balance between Broadband and Aerospace and Defence with the total being relatively flat to the current guidance.
Jeff Rittichier : So there is some could leverage over at AMD Tim, we're not counting on all of it, but there's a lot of really good stuff going on.
Tim Savageaux : Got it. And last question on the inventory correction in cable, and I think you've mentioned you didn't feel like you'd lost any share or any deals, but would I be looking at this the right way to assume that your customer has lost some share or some deals. And whether that might be the onset of some of this next-generation technology we've been waiting for quite some time, which does appear to be ramping, and so I guess can you discern between an inventory?
Jeff Rittichier : I knew it was coming.
Tim Savageaux : Well, I mean, it's really been waiting five-years.
Tom Minichiello : I'm sorry. Let's fallback
Tim Savageaux : Seemed to have cured your cost there too, which is good. So do we get a sense this business, it's not coming back and part of a technology transition or competitive dynamics in current technology, or maybe you could dive down a little deeper into what do you think dynamic that might be there?
Tom Minichiello : There are – what’s called MSO customers that have made decisions about who's technology they're going with. To some degree based upon availability to ship immediately from stock. So that has put a premium on both of our major customers to have plenty of inventory available to ship at a moment's notice. And obviously, only one is going to win, or win the primary slot. But this is the root of what to us looks like a double ordering problem. So at this point, I wouldn't say that it has anything to do with roll-out of Remote PHY. Remote PHY is certainly gaining traction and some credibility with Comcast. Not so sure about everybody else.  And so looking at the whole market in a homogeneous way, and I'm not sure gets us to where we want to be. Because these architectural decisions are being made by the different MSOs are very different. So our view of all of this, and I believe I've said this is for seven years, we've been able to take a heck of a lot of profit out of the business, out of this market by taken with linear optics. For the past seven years has been a pretty good bet. Does that mean it's always going to be a linear optics driven world? Of course not. Could this be the beginning of a turning point? Maybe with one MSO? But I'm not sure I go any further than that at this point, is that .
Tim Savageaux : That's great caller. I really appreciate it. Thanks.
Operator: With no further questions in the queue. I would now like to turn the call back over to Jeffrey and churn for any additional or closing comments.
Jeff Rittichier : Again, by my apologies for hacking my way through the call. Whatever I've got, we've got enough tests to know it's nothing serious, but it's certainly annoying. Thank you for bearing with me and your interest in EMCORE. Team put in a lot of hard work this past quarter and dealing with some of the COVID issues, and I want to recognize all of their efforts. And wish you all a great evening. Please stay safe and good bye.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.